Operator: Ladies and gentlemen, welcome to the Novonesis Full Year Financial Statement for 2025 and Annual Report for 2025. I'm Moritz, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Tobias Cornelius Bjorklund, Head of Investor Relations. Please go ahead, sir.
Tobias Björklund: So thank you, operator, and good morning, everyone, and welcome to the Novonesis conference call for 2025. As mentioned, my name is Tobias Bjorklund, I'm heading up Investor Relations here at Novonesis. In this call, our CEO, Ester Baiget; and our CFO, Rainer Lehmann, will review our performance for the year as well as the outlook for 2026. Attending today's call, we also have Tina Fano, EVP of Planetary Health Biosolutions; Henrik Joerck Nielsen, EVP of Human Health Biosolutions; Andrew Taylor, EVP of Food & Beverages Biosolutions; and Claus Crone Fuglsang, Chief Scientific Officer. The conference call will take about 1 hour, including Q&A. Please change to the next slide. As usual, I would like to remind you that the information presented during the call is unaudited and that management may make forward-looking statements. These statements are based on current expectations and beliefs, and they involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statement. With that, I am now pleased to hand you over to our CEO, Ester Baiget. Ester, please.
Ester Baiget: Thank you. Thank you, Tobias, and welcome, everyone. Thank you for joining us this morning. Could you please turn to Slide #3? Thank you. 2025 was another strong year, a year where we capitalize once more on the momentum from the increased relevance that our biosolutions bring to customers and consumers around the world. From an original guidance of 5% to 8%, we ended the year delivering a strong 7%, including the negative impact from exiting certain countries of around 1 percentage point. Sales growth was broad-based and mainly volume-driven with prices and sales synergies each contributing around 1 percentage point. We delivered an adjusted EBITDA margin of 37.1%, in line with our initial outlook of 37% to 38% and despite significant negative currency development during the year. Growth in developed markets reached 6% with solid performance in both Europe and North America. Emerging markets were particularly strong with 9% growth, driven by the increased local presence and tailored solutions. In 2025, we added around 400 people in commercial roles and customer-facing activities with 2/3 of them in emerging markets. The integration of the Feed Enzyme Alliance acquisition, which we closed in June last year, is progressing well, and we are starting to see the benefits for being closer to the customer and from the strength of the combined biosolutions portfolio. We launched 14 new biosolutions in the quarter, bringing the year to 33 in total. In Food & Beverages, we launched innovation that tap into higher consumer demand for healthier and high-protein solutions driven by GLP-1 users, among others. Another example of innovation tapping into growing consumer demands was the new enzyme solutions for quick and cold wash cycles in Household Care, saving both time and money for consumers while enabling superior wash performance. We continue to focus on driving our people, planet positive ambition. 80% of our sales are aligned with at least one Sustainable Development Goal. I am very pleased that we have delivered on all of the 6 2025 sustainability targets, including reaching 100% of electricity from renewable sources. Turning to 2026. With already good start to the year, we expect organic sales growth of 5% to 7%, mainly driven by volumes, with pricing and sales synergies each contributing around 1 percentage point. The outlook also includes close to a percentage point negative effect of exiting certain countries. For the adjusted EBITDA margin, we guide for 37% to 38% with an expected margin expansion, including currency headwinds. And with this, let us look at the divisional performance in more detail, starting with Food & Health Biosolutions. Could you please turn to Slide #4? Thank you. The Food & Health Biosolutions division delivered a strong 8% organic sales growth in the full year, including a negative impact from exiting certain countries of around 3 percentage points. The adjusted EBITDA margin was 35.8%, an increase of 60 basis points, including the impact of currency headwinds. In the fourth quarter, organic sales growth was strong at 7%, including the negative impact of around 5 percentage points from exiting certain countries and the margin improved as well. For 2026, we expect this division to deliver organic sales growth within the same range as for the group, driven by both Food & Beverages and Human Health. The exit of certain countries will impact in the first half of the year. Please turn to Slide #5. Thank you. Food & Beverages delivered a strong 8% organic sales growth for the full year and 7% in the quarter, including the impact of exiting certain countries of 3 percentage points for the year and 6% in the quarter. Growth was mainly driven by volume and pricing contributed positively in line with the group level. Growth for the full year as well as in the quarter was anchored across geographies and most industries with continued strong momentum in Dairy. Performance was mainly driven by market penetration, strong adoption of innovation and positive market development, driven by the increasing demand of cleaner label, high protein and healthier solutions. In fresh dairy, beyond the increase in demand for efficiency, yield and high protein, we continue to see a strong pull for our bioprotection solutions. In cheese, customer conversion to higher-yield solutions continued to be a strong driver of growth. Baking, Meat and Plant-based solutions also saw strong growth, mainly driven by innovation and increased penetration. The Beverage segment grew in the fourth quarter, showing the momentum of innovation still with decline for the full year, mainly impacted by lower end market beer volumes. Synergies contributed to growth in line with expectations, supported by cross-selling and increased commercial scale across both Food & Beverages. In the fourth quarter, we launched 9 new products in Food & Beverages across Dairy, Beverages and Plant-based, making it 19 for the year. One exciting example of our growth synergies is our launch of Galaya Smooth, a solution that combines a texture-enhancing enzyme with cultures, driving smoother, higher protein and cleaner label dairy products. Another exciting launch is the Javora Enhance for instant coffee. This drop-in solution helps coffee processors unlock up to 10% higher yield with improved quality, cost and sustainability benefits. For 2026, growth in Food & Beverages is expected to be broad based, including a positive impact from synergies and pricing. The exit from certain countries will impact in the first half of the year. Please turn to Slide #6. Thank you. Human Health delivered 10% organic sales growth both for the full year and in the fourth quarter. Growth was mainly volume driven and negatively impacted by the exit of certain countries by around 1 percentage point. The release of the full revenue contributed around 1 percentage point to growth both for the full year and for the quarter. The full year development was driven by strong performance in both Dietary Supplements and Advanced Health & Nutrition. Synergies contributed positively and in line with expectations. Dietary Supplements grew across regions and subcategories, led by solid momentum in North America. Performance in Advanced Health & Nutrition was driven by Advanced Protein Solutions as we continue to scale up supply with our anchor customer and HMO. In the fourth quarter, growth was led by strong performance in Dietary Supplements across all regions and subcategories. And in Advanced Health & Nutrition, growth was driven by Advanced Protein Solutions. In the fourth quarter, we launched one new product in Human Health, BioFresh Clean. It's a clinically proven liquid enzymatic formula that supports better oral hygiene. It can be applied in toothpaste and mouthwash applications as a natural and effective solution. This is yet another example of a solution where we leverage the impact of our innovation across -- through cross-selling. For 2026, growth in Human Health will be driven by a continued positive momentum in Dietary Supplements, supported by a positive impact from synergies as well as by Advanced Health & Nutrition led by HMO. Pricing is expected to impact positively and deferred revenue is expected to contribute around 1 percentage point to the growth for the sales area. The exit from certain countries will impact the first half of the year. And please turn to Slide #7 for a look at Planetary Health. Thank you. Planetary Health Biosolutions delivered a solid 6% organic sales growth for the full year. The adjusted EBITDA margin was 38.2%, an increase of 140 basis points including currency headwinds. In the fourth quarter, organic sales growth was 2%, driven by Household Care. Agricultural, Energy & Tech was flat in the quarter, with double-digit growth in Energy, offset by timing in Agricultural and a tough comparator in Tech. The EBITDA margin was 36.4% in the quarter and down 90 basis points compared to Q4 last year. This decline is primarily due to a one-off expense relating to the realignment of activities in plant, while currencies had a negative impact as well. The acquisition of the Feed Enzyme Alliance contributed positively and in line with expectations. For 2026, and with a good start of the year, we expect this division to deliver organic sales growth within the same range as for the group with relatively stronger growth in Agricultural, Energy & Tech and supported by pricing. Please turn to Slide #8. Thank you. Household Care delivered 7% organic sales growth for the full year and 5% in the quarter. Growth was mainly volume driven and with a positive contribution from price and in line with group level. The strong performance was led by increased market penetration and adaptation of new innovation. Increased enzyme penetration in Emerging Markets contributed to growth in both laundry and dish wash, and growth in Developed Markets was mainly from innovation and supported by increased penetration of local and regional customers. Growth in the fourth quarter benefited mainly from similar factors as the one of the full year as well as strong growth in professional and medical cleaning, easing the impact of end market normalization in developed markets. For 2026, we indicate solid performance in Household Care with key growth drivers continuing to be innovation, increased penetration in both Developed and Emerging Markets as well as continued support from pricing. Please turn to Slide #9. Thank you. Agricultural, Energy & Tech delivered organic sales growth of 6% for the year while the development in the fourth quarter was flat. The full year growth was driven by a strong performance in Energy, supported by Tech and Agricultural. Group was driven mainly by volume and pricing contributed positively, in line with the group. Energy was driven by Latin America and Asia Pacific, particularly India, reflecting increased corn ethanol production. Growth in North America was also supportive, driven by greater adoption of innovation and growing ethanol production volumes, supported by increasing exports. Further, a ramp-up in second-generation ethanol and penetration of biodiesel solutions also contributed positively. Performance in Agricultural was driven mainly by plant while the performance in animal was impacted by timing. Tech was driven by increased penetration of our solutions for biopharma processing aids. For the development of the fourth quarter was driven by double-digit growth in Energy, explained by similar factors as the one as the full year, while Agricultural and Tech declined due to high comparables and timing, especially in Agricultural. In the fourth quarter, we launched 4 new products. In Energy, we introduced a new yeast, increasing ethanol yield under tough fermentation conditions, driving further value creation for our customers. And in Tech, we launched an enzymatic solution that helps increase yields in vegetable oil production and reduce costs. For 2026, growth in Agricultural, Energy & Tech is expected across all industries led by Energy and supported by synergies and pricing. Now let me hand over to Rainer for a review on the financials and the outlook. Rainer, please?
Rainer Lehmann: Thank you, Ester, and good morning, everyone, and welcome to today's call also from my side. Let's turn to Slide #10. Please note that for the year-on-year comparison figures presented today, we have used pro forma figures as our baseline comparison for full year numbers. The corresponding IFRS-based figures are available in the statement released this morning. Q4 year-on-year figures are IFRS based and fully comparable. In 2025, sales grew a strong [ 7% ] organically and 5% in reported euro. The exit from certain countries impacted organic sales growth negatively by around 1 percentage point. Currencies provided a 3% headwind while M&A impacted development positively was a good 1% as expected, following the Feed Enzyme Alliance acquisition that we finalized in June. In the fourth quarter, sales grew 4% organically and 2% in euro. The exit from certain countries impacted organic sales growth negatively by around 2 percentage points in the quarter. Currency headwinds continued to be significant and amounted to 4%, partly offset by a good 2% positive contribution from the Feed Enzyme Alliance acquisition in line with expectations. Turning to our profitability. The adjusted gross margin was strong at 59.1%, which is an improvement of 240 basis points year-on-year. Lower input costs, including cost of energy as well as economies of scale and productivity improvements, led to the strong development. Pricing and synergies also had a positive impact while currencies impacted negatively. Total operating expenses adjusted for PPA-related depreciation and amortization were 29.5% of sales. This is 1 percentage point higher than the 2024 level as we are reinvesting and strengthening our commercial presence across geographies, in line with our strategic direction. In addition, Q4 was impacted by one-off expenses related to the realignment of activities in plant as well as a write-down of assets as a result of the closure of one of our smaller sites. The adjusted EBITDA margin was 37.1%. This was 100 basis points higher than 2024 and driven by the improvement in gross margin and realizing 100% run rate of cost synergies 1 year ahead of time. The Feed Enzyme Alliance acquisition contributed 0.25 percentage point in line with our expectations. Currency headwinds impacted the margin negatively by around 0.5 percentage point year-on-year. Relative to the initial outlook we gave at the beginning of the year, currency headwinds amounted closer to 1 percentage point. Taking this into account, a currency-neutral margin would rather have been at the top of the initial outlook range of 37% to 38%. The adjusted EBITDA margin for the fourth quarter increased 40 basis points to 36.6%, driven by the same factors as for the full year. As I mentioned before, Q4 was impacted by one-offs, adding up to roughly 0.5 percentage point, mainly related to the realignment of activities in the plant business. Here, we are rightsizing the organization and activities as we continue to prioritize and ensure that there's an appropriate allocation of resources across geographies to support this growing business. The Feed Enzyme Alliance acquisition supported the margin by around 0.5 percentage point. Special items were EUR 66 million and primarily consisted of transaction costs related to the Feed Enzyme Alliance acquisition. It also included integration expenses related to the combination with Chr. Hansen as well as some initial expenses for the new global ERP system. The diluted adjusted earnings per share was EUR 1.49, an increase of 16% compared to last year. If we adjust for PPA amortization, the earnings per share was EUR 1.99, representing a 15% increase compared to 2024. Operating cash flow amounted to a strong EUR 1.22 billion in 2025, which is an increase of EUR 189 million compared to last year. This was mainly driven by the strong improvement in net profit, supported by a positive development of the net working capital. CapEx amounted to EUR 471 million, equal to 11.3% of sales, which is 2 percentage points up from last year as we increased investments into our production footprint to support our growth journey. Despite this increase, free cash flow before acquisitions increased by 15% to EUR 770 million, equaling 19% of sales. Adjusted return on invested capital, excluding goodwill, was 10.1%, an improvement of more than 20% versus previous year's pro forma return. The improvement was driven by higher profitability and PPA amortization. With this, let us now turn to Slide #11 to talk about the 2026 outlook. Please note that the outlook presented today is based on last year's levels of global trade tariffs and the current foreign exchange environment. Back in December 2022, we announced the combination and presented targets for the period towards 2025. We set out to deliver a CAGR of 6% to 8% and an EBIT margin before special items and PPA amortization of 29%, which we translated to an adjusted EBITDA margin of 37%. With an organic sales CAGR at the top end of the range and an adjusted EBITDA margin of 37.1%, including the absorption of currency headwinds, we have clearly delivered on our promises. We expect 2026 to be another solid year for Novonesis as demand for our biosolutions continues to increase. The outlook for organic sales growth is between 5% to 7%, which includes a negative impact of close to 1% from exiting certain countries. Organic sales growth will be mainly volume driven and include around 1 percentage point from sales synergies. Pricing is expected to contribute a good percentage point across both divisions. The outlook also includes some uncertainty of potential lower consumer sentiment for the year. We expect a good start to the year. This is mainly attributable to the sales momentum we are experiencing so far. Additionally, we expect a positive timing impact from the animal business in the first half of the year related to an inventory buildup of a key customer. For the year, this effect will be neutral. We expect the adjusted EBITDA margin to be between 37% to 38%, showing continued margin expansion. The increase is expected to be driven by a stronger gross margin, the full year effect of the Feed Enzyme Alliance acquisition as well as the benefit from synergies. We have also included currency headwinds of around 0.5 percentage point based on current spot rates compared to 2025. Novonesis' Board of Directors proposed a dividend of DKK 4.25 per share or EUR 0.57 to be approved at the Annual General Meeting. This will be equal to a total dividend payout for the year of DKK 6.5 or EUR 0.87 per share as we already paid an interim dividend of DKK 2.25 or EUR 0.30 on August 27 last year. This corresponds to a payout ratio of 58.4%, which is in line with our dividend payout policy, which suggests a ratio between 40% to 60% of adjusted net profit. For modeling purposes for 2026, current FX spot rates suggest euro sales to be negatively impacted by around 2 percentage points. In addition, the inorganic growth contribution from the Feed Enzyme Alliance acquisition is expected to add a good percentage point. We expect around EUR 40 million in special items in 2026 related to integration activities from the combination in line with expectations, integration activities from the Feed Enzyme Acquisition and continued expenses related to the implementation of the new ERP system. Net financials are expected between EUR 80 million to EUR 90 million, and an effective tax rate between 22% to 23% is a good assumption for 2026. As already highlighted at last year's strategy announcement, we will see a temporary step-up in CapEx in order to support our growth for the strategy period and beyond. The increase of the investments are to expand our production capacity, particularly for enzymes and, the finalization of the dairy culture expansion in the U.S. In addition, we'll invest in a setup of a new ERP system over the next years. For 2026, we expect, therefore, CapEx to be in the range of 12% to 14% of sales. Net debt to EBITDA is expected to be around 1.7 at year-end as our solid cash generation will allow for continued deleveraging despite the step-up in CapEx. We are in a good place and confident in the 2026 outlook. We make dedicated investments to support the short- and long-term growth, building an even stronger and more resilient Novonesis. With this, I'll hand back to you, Ester.
Ester Baiget: Thank you, Rainer. Could you please turn to Slide #12? Thank you. Our investments in innovation are driving both near and long-term growth, and we see AI as a powerful tool that further strengthens our leadership in biosolutions. We invest more than EUR 400 million in R&D and they're focused purely on biology. This gives scale and sets our innovation pipeline as a differentiated engine, fueling our ability to outgrow the end markets we present. With around 10,000 patents, our portfolio is very well protected. 85% of our 2025 product launches are IP protected. This is significant. In 2025, around 25% of our sales came from products launched in the last 5 years, in line with our ambition of 20% or more. We consistently have around 200 innovation projects in the late-stage pipeline status. In 2025, we launched 33 new solutions, and we feel confident in our ambition of launching at least 30 per year going forward, continuing to provide new answer to consumer ask from cleaner label and high-protein foods to lower water and energy bills. Over the last years, we have increasingly integrated AI in our innovation processes. We have unmatched proprietary libraries of more than 100,000 strains, more than 15 million enzyme structures and extensive data collected over decades from biosolutions across applications, scaling productions and core R&D work. This property data that only we can access is the key reason why AI provides Novonesis a disproportional advantage compared to others, who are mainly able to access publicly available data. And this data is the one, our data, that puts us in a strong position to capitalize on the opportunities that AI offers. The most material impact so far from using AI has been moving from idea to lead candidates faster with much less experimental activity, shortening this part of the innovation cycle from years to months. The next areas where we're seeing real breakthroughs are on strain design, productivity and production of outcomes in real-world applications. To summarize, AI is a real differentiator for us as it amplifies the impact of our moat. AI enables us to develop new technologies and solutions faster and with high accuracy, bringing efficiencies that so far were impossible to achieve. The more data we generate, the more we increase the impact from AI, speeding up innovation and solving for increasing higher value generation. Novonesis is a pure biologics play with unique portfolio of biosolutions, broad market reach and scalable precision fermentation setup. With strong execution and focus on prioritization, we continue to deliver on our commitments. 2026 will further demonstrate our progress to our 2030 targets and beyond. And with that, we're now ready to open the Q&A. Operator, please.
Operator: [Operator Instructions] And the first question comes from Matthew Yates from Bank of America.
Matthew Yates: It relates to your outlook and this sort of concept of the uncertain lower consumer sentiment environment. And I guess if I look at your really amazing Q4 growth rates, it doesn't look like you are overly impacted there. You're talking about a strong start to the year. So when you referenced this consumer sentiment point, is that something you are already seeing in your results? And if so, in what part of the business? Or is that more of a forward-looking statement that it's something that could transpire and manifest itself in due course? And if I can squeeze in a second question, specifically about your sort of Human Health business. I think it grew 12% ex the currency exits, which again, very, very impressive. Can you just talk a little bit how you are managing to decouple from arguably an end market or an end category that looks a bit more lackluster based on what we've seen some of your sort of peers or customers report. Is this innovation? Is this the merger synergies coming through? Just interested how you're driving such strong growth on the human side.
Ester Baiget: Thank you, Matthew, for these beautiful questions. Yes, we feel very pleased about how we finished the year, but especially about the momentum and how we're setting us for another good 2026. Let me answer your first question and then pass it to Henrik, who will enlight us on how we are decoupling through our innovation muscle and the places we play in the market from the dynamics that we see and how we continue to outgrow the market here in Human Health. Building on your question on our outlook, 5% to 7%, that's what we are aiming for the year within the range, including 1% of exiting certain countries. And as you indicated, Matthew, this is including a potential softness for consumer behavior, mainly in U.S. that we don't see yet. We're starting the year in a strong momentum across all areas. There's a little bit of effect of timing from Q1 -- from Q4 to Q1 on Ag and Tech, as we mentioned. But beyond that, the good start of the year that puts in a very good place of comfort. Then we live in the same world that you do, and we bring that potential scenario in place on quite some softness -- potential softness in the consumer behavior within the outlook of 5% to 7%. Henrik, please?
Henrik Nielsen: Thanks, Matthew, for that question. One of the nice questions to get to answer. Indeed, we are growing very well, and we're doing very well in Human Health. 2025 was also a very strong year for Human Health, where both our dietary supplements business and the Advanced Health & Nutrition business really contributed nicely. It is true that there's a lot of talk about lowering consumer sentiment. In the Human Health business and especially in the supplements business, you do see consumers also switching around and shopping around a lot. So there is growth to capture if you're out there with the right customers. And we are locked in with some very, very successful customers, especially in the U.S., where we are growing very nicely despite others struggling a bit more. It's also -- it's much more dynamic. And it's also a more fragmented market. It's not unlike many other parts of Novonesis, where position may be more broad. There's much more room for us to grow not only with the market, but also growing with share and growing with our key customer. And that is the secret of the recipe. We actually see that also in the rest of the world, but particularly in the U.S. And then also, as I mentioned, we are just growing nicely across all geographies and across both supplements, B2B and Consumer Health and Advanced Health & Nutrition.
Operator: And the next question comes from Thomas Lind from Nordea.
Thomas Lind Petersen: Also 2 questions from my side here. The first one relates to Ester, what you said about the, I think, greater innovation adoption within energy that you see in North America. If you could perhaps elaborate a little bit on that. We've seen the average U.S. ethanol yield get very close to 3 gallons per bushel. So just maybe if you could elaborate a bit on what is required to go above the 3 gallons per bushel, so breaking down the fiber and how you sort of see that breakdown going on over the coming years and then what that means to growth in energy. And then the second question is on the very, very strong growth that you delivered in food and bev, 7% despite the strong headwind from the exit of Russia. So perhaps if you could just elaborate a little bit on this. I'm assuming that it's dairy, but is it high protein? Is it yogurts? And is it this new Galaya Smooth innovation that you launched last year? So that would be my questions.
Ester Baiget: Excellent. Thank you. Very good questions also, Alex (sic) [ Thomas ]. I'll pass it to Andrew to share the details of the broad-based growth on Food & Beverages. It is across all areas where we see it and also very diversified from a geography's point of view and continue to outgrow the market that we present. And then Claus will further elaborate on the question of innovation. But let me bring a little bit of color here that it's a beautiful question, the one that you're making, and it shows about the untapped potential of biosolutions. And this is the key formula of success of who we are, being a pure biologic play and continue to bring nuances that show what it was not possible, it is possible. We've done it in bioenergy by being in the power of combining yeast and enzymes, and we continue to drive and enable a new value generation for our customers. And it is on higher yields, higher productivity, corn oil, value-added side streams that they make our solutions extremely strong. And coupled with a very strong presence in North America, we continue to outgrow the market. But Claus, what is the roof there? How we can continue to untap that?
Claus Fuglsang: Yes, Thomas, a very good question. I mean, I guess you're alluding to there must be a mass balance gap or cap somewhere, but that's still not there. There's still potential to convert more fiber. There's still potential to decrease the waste in, let's say, the yeast fermentation of glucose to ethanol. There's still a potential to increase the protein fraction, if you will, of the DDG. So there's still innovation potential in the bioenergy business.
Ester Baiget: And maybe, Claus, if you speak about not only corn, but also what we're seeing in other areas in bioenergy.
Claus Fuglsang: Sure. It was already mentioned in growth due to biodiesel, where continue to innovate for higher yields. And then also on the biomass side, where [ Horizon ] in Brazil continues to build out the capacity or coming online with the plant, and then in India as well.
Ester Baiget: Thank you, Claus. Andrew?
Andrew Taylor: Thanks, Ester. Yes, we're very pleased with the growth momentum we have in Food & Beverage, both in Q4 and coming into this year. It is truly broad-based. So we are growing in both Dairy as well as Food & Beverage. The Dairy is similar to what we talked about in prior conversations around both the new innovations we're launching in this space, but then also productivity through things like DVS conversions, and we see that continuing to be a growth driver for us coming into this next year. On Food & Beverage, it is also we're seeing growth, and that is in -- mainly driven by innovation. And we've talked in prior calls about baking and food. So we are really excited about the progress that we're making. The growth is really driven by the expansion of the usage of biosolutions in those industries. And so that's what we're spending a lot of time doing. When you think about it from a regional perspective, we are seeing growth actually in all of our regions. And clearly, there are some pockets that are higher than lower, and a lot of what we're spending our time trying to do is making sure we have our sales resources deployed at the most attractive pockets for the next 3, 4, 5 years. So a lot of it comes down to making sure we have our people in the right spots.
Operator: And the next question comes from Alex Sloane from Barclays.
Alexander Sloane: Two questions from my side, if that's okay. The first one, could I just ask a little bit more around the Agricultural timing impact? If you can maybe quantify how big an impact that had in Q4 on the timing side, what growth maybe in Ag, Energy and Tech would have been without that? And how confident are you that, that fully reverses in Q1 or H1 of this year? And the second one was actually on innovation again. I mean, thank you, Ester, for the detail on AI, which sounds very exciting, obviously, shortening innovation cycles. You're talking about kind of months from years. How should we expect that to translate in terms of the innovation KPIs that you report over the next 5 years? Will we see more new product launches versus the 33 that you announced in '25? Or is there about launches that are just maybe more powerful, more useful for customers where you can derive more value?
Ester Baiget: Thank you, Alex, for both of your questions. Regarding the timing, it was meaningful enough to make a change or the imprint that you see in Q4. And what we feel very confident is that we see already a strong momentum in Q1. So it is purely timing, and we see that reflected in as we're starting the year. Then on innovation, yes, we are bringing AI as a powerful tool. We've been using AI. We used to call it machine learning. Now it's embedded on the 100% on the way that we operate. And mainly it brings higher home runs per shot. It is leading to high efficiencies, but also untapping opportunities that we have not even seen yet the roof. It allows us to reach spaces that we could not dream. Yes, it brings efficiencies and speed. It took before 1 year of lab data to predict the surface of a protein, and now we can do that in 30 seconds or less than a minute. But it is because we have the right data, the relevant data on how we fit those models, on how we can capitalize on the momentum on R&D. So too early to talk about the new metrics, but for sure, comfort on the quality of the muscle that we have behind and then the capability to continue to be a partner of growth, a value-added enabler for our customers on bringing new solutions in.
Operator: Then the next question comes from Lars Topholm from DNB Carnegie.
Lars Topholm: I have 2. Continuing on Alex's questions to Agriculture. Can you give maybe a little bit of detail on the areas where you saw the timing and the tough comps? Are we talking in animal health? Are we talking plant health? And if it's plant health, are we talking bioyield or biocontrol? If it's animal, can you comment on what species? And then a second question, Rainer, when you went through the numbers, you mentioned a one-off effect in Q4 from a realignment of activities in plant. I think those were your words. I just wonder if you can put some comments on what that actually means.
Ester Baiget: Very good. Thank you, Lars. I will pass the word to Rainer and Tina on the drivers of the -- not only timing, but also strong competitor on tech for Q4 and also the drivers of the reorganization behind that we always do. We hired 400 people in commercial roles and customer-facing activities this year. And at the same time, we always streamline on the way that we operate. That's a continuous momentum, and we saw the impact of this in the one-off on Ag to continue to set us more equipped for capitalizing on the growth momentum and the opportunities we see in the market. But Tina, first to you.
Tina Fanø: Yes. So first of all, when we look at Ag, all 3 sub-elements, so Agriculture, Energy and Tech all grew in 2025 and delivered the 6% for the full year. And we are seeing good momentum here in 2026. We talked to strong growth, double digit in bioenergy also in Q4. And then we talk to some timing in Ag and Tech. I mean, Tech, we have talked about a couple of times, the biopharma processing aids that, that is more lumpy and bumpy starting out from the COVID-19 test kits. And that's also what we are seeing here in Q4. And we see a good start to -- here in '25, and we see a good start to 2026. If we then go specifically into Agriculture, we see -- if you look back at our 2024 numbers, we had a very strong Q4 in Agriculture, and we do expect a very strong also in Agriculture here in 2026. If you look at it -- if you look even more detailed at it, we had good performance on plant, while animal was a bit more subdued and a lot of it comes from emerging markets. But we do see, as we also call out, a strong also animal performance here in 2026. Then over to the restructure. Over the years, we have developed many strong solutions in the plant biosolutions space. And as you know, Lars, we have also talked about the need for prioritization and our focus on securing that we prioritize our cash in the best possible way. And now we want to focus on getting full benefit from what it is that we have. We have developed so many solutions, and we want to get them out and secure that we have the right footprint in the right places in order to deliver to that. So that's what it's about. It is about capitalizing on what we already have.
Rainer Lehmann: Really nothing to add. I think Tina explained it wonderfully. It's making sure the business has the appropriate resources to grow.
Operator: And the next question comes from Soren Samsoe from SEB.
Soren Samsoe: Soren here. So first question is, you talk about a good start to the year. Just what areas are you more specifically referring to? And also, does this mean that we should see the year of '26 to be front-end loaded when it comes to organic growth and margins? And the second question is on CapEx to sales, which you guide for 12% to 14%, and similar level, I guess, in '27. Maybe you can elaborate a little bit on what this relates to? Are you going to build more capacity in other markets besides the expansion you're doing in the U.S.?
Ester Baiget: Thank you, Soren, for the very good question. The good start of the year is broad-based. It's across all areas. Then there is the onetime effect of inventory that Rainer mentioned in his comments that, that we're pleased. I mean the earlier we have that in place, the better for us. And that's only -- but it's irrelevant for the -- or not impactful the overall year, it's simply a timing effect that we're going to see particularly in Ag for the beginning of the year in Q1. But then the growth that we see, it's across all segments. And then reading to CapEx, yes, it is built and made for support growth for the broad range of our guidance, including the high end. And I'm here, I'm passing the word to Rainer that can put a little bit more color.
Rainer Lehmann: Yes. So of course, it's the continuation of the expansion in the U.S. basically for the food culture business, right? It's going to go online in beginning of Q4 of this year. But then it's also ensuring that for the enzyme business, we have enough capacity to really accompany our growth journey, and that will be outside of the U.S. It will be more in the emerging markets and in India in this regard. So that is, of course, also going to be a multi-journey. Important here is this is really a temporary elevation, this 12% to 14%. And it also includes the roughly basically percentage points of the capitalization of expenses related to the ERP.
Soren Samsoe: Will it be dedicated to any specific segment like Energy or Dairy or whatever?
Rainer Lehmann: Facilities, we're building multipurpose facilities. And these are investments not only in capacity but also in resilience overall so that we're able to really use these assets in a broad portfolio, of course, then across the enzyme portfolio.
Operator: And the next question comes from Tom Wrigglesworth from Morgan Stanley.
Thomas Wrigglesworth: A couple of questions. I wanted to talk a little bit around the margin, both environment and the outlook. So with regards to the environment, where are we on the kind of the cost dynamics in terms of inputs and raw materials? I think sugar prices have been coming down. I wondered if that was supportive. And secondly, in terms of the bridging elements for that margin midpoint, 37.5. Should we think about that as linear progression through the year? And what are you assuming around the SG&A investments that you're making and how that will trickle through into 2026, noting that, obviously, your ambition was to expand your sales force in emerging markets. So color around the margin would be very helpful.
Ester Baiget: Thank you, Tom. Rainer, if you please could take this one.
Rainer Lehmann: So regarding the timing of the margin, it's pretty much, I would say, fairly stable. It will be over the year. I would assume, as we said, like in 2025, we increased, for example, on the S&D side, 400 new colleagues that will, of course, be there from the beginning in this regard. We also do not expect actually any major growth rates from H1 to H2, right? We highlighted that the animal or in the agriculture space on the animal side, we see this onetime purchase, which for the year is neutral but will affect H1, right? We do not know if it's Q1 or Q2. That's what I'm saying here H1 in this regard. And so therefore, we do not -- therefore, the ratio should be fairly consistent, right? And for the mid guidance, we also said, keep in mind that while there are clearly positive impacts, as you know, and further increase on the Feed Enzyme Alliance that we're, of course, going to harvest more synergies that add another 20 basis points. But also keep in mind that here, we also continue to face currency headwinds, which is going to be approximately around 0.5 percentage point. So overall, I think it's an ambitious figure but it's going to be basically throughout the year fairly consistent.
Operator: And the next question comes from Chetan Udeshi from JPMorgan.
Chetan Udeshi: The first question was just on this timing issue that you referred to in your Ag business. I'm just curious, was that a surprise to you in the sense how it developed through the quarter? Because I was a bit puzzled, if this was known, why was this not flagged already in the last call? The second question related, and Rainer, to some extent, touched on it, you don't expect any major deviation between H1 and H2 organic growth. So is that meaning that in Q1, we should at least see a similar 6% growth, if not higher because of the timing issue, bearing in mind, you also have the impact from exit in Russia and Belarus being bigger? And third question, I was just looking at the slide, and I think, Ester, you mentioned about the new solution for oral care. Is this a completely new category for Novonesis? Or have you always been in that category? Because I don't seem to recollect having seen any offering for the oral care market. I'm just curious, is this something that is a new category for Novonesis?
Ester Baiget: Thank you, Chetan. Very good questions regarding oral care, and I'll let Henrik further build on this. But mainly, this is not necessarily new solutions. What is new is the connectivity we can bring now, bringing a broader company with cross-fertilizing solutions that we have in the pipeline and then enhancing them and bringing them, truly meeting needs of the consumers and then enabling new maybe formats or spaces for our customers. So not 100% new, but just new for the customers, enabling new connections as part of bringing also a broader company with more arms and more faces and more legs in the market. Regarding the timing, no, it's not unexpected. It's mainly in Ag, where we know it's a bumpy market. These things happen. But we didn't see it in Q4, we see it Q1, it's there. And as I mentioned, and apologies, I'm repeating myself, we see a good start of the year across all areas but also here on Ag. With then the timing effect that Rainer mentioned on inventories on animal for the first half of the year that we're also going to see there. Do you want to build up on the timing, Rainer?
Rainer Lehmann: Yes, and I can give some more color there. Chetan, basically, I do not expect a difference really between H1 and H2. They're both going to be within the range that we said 5% to 7%. Keep in mind, that specifically 2025, also the first quarter in 2025 really is strong comparable, right? I'm not guiding here any quarters. But for H1, H2, I expect similar growth rates.
Operator: Then today's last question comes from Andre Thormann from Danske Bank.
André Thormann: I just have 2. Just coming back to Agriculture, Energy & Tech. I just wanted to make sure here, it's correct that the growth, if you correct for timing is around 3% organic. And if that is true, then it's still a very meaningful deceleration in the growth rates. So what explains that other than timing? That's my first question. And then the second question is in terms of the tax rate. I just wanted to make sure it's 22% to 23%. Is that the run rate also longer term? Or is there some one-off effect in 2026?
Rainer Lehmann: So I'm going to start with the tax rate and make it easy. No, this is basically around the 22% to 23% is a long term. It's basically a normalized rate, probably even to the lower end of this 22% of that range. Keep in mind the tax rate in '24 was really high due to the nontax deductible integration expenses, which were quite significant. So now we're actually in a more normalized way going forward.
Ester Baiget: And Andre, building on the timing, it's good that we dwell on the quarter, and we don't look at our businesses from a quarter perspective. We delivered 6% growth in Agricultural, Energy & Tech. Particularly in this segment, there is volatility from one quarter to the other. We knew that there was a strong comparator in Tech in Q4, and Tina shared the drivers behind. And we're starting the year in a good place, and we see this segment as a driver of growth. We delivered double-digit growth in Q4 in bioenergy, and we continue to see growth across all areas in Q4 -- in 2026. We will -- it will be the same drivers. It's innovation, it's penetration, and it's continue capitalizing in the momentum and then translated into what you will see growth across the segment in 2026.
André Thormann: Just to be sure, Ester, because I'm not sure I got that. So is it correct that it's around 3% if you correct for timing in Q4? Just to be sure of the numbers.
Ester Baiget: And I heard you and that's your assumption. And now what we are saying is that there is an impact on timing. It is meaningful. You can make -- I mean, that's a fair assessment. But what's important for us is the 6% growth for the year and the comfort of Planetary Health Biosolutions, Agricultural, Energy & Tech to also be a driver of growth across the segments in 2026. So no more calls. And we thank you for -- no more questions, and thank you for all calling in today. Looking forward to continuing the conversations. We're pleased of where we are. We're proud of 2025. We have a strong start of 2026. And we're looking for continue the conversations with you and showing you also through the year on how we're delivering on our guidance that we put in place. Thank you so much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.